Felipe Navarro: Good afternoon, and welcome to MAPFRE's Full Year's 2024 Activity Update. This is Felipe Navarro, Deputy General Manager of Finance area. We want to welcome those who have joined us in person today as well as everyone online. It is a pleasure to have Antonio Huertas, MAPFRE's CEO, here with us today. He will make a few opening remarks and will give an overview of the business trends and developments. Later, Fernando Mata, the Group CFO, who will comment the main financials; and Jose Luis Jimenez, the Deputy CFO, who will walk us through the balance sheet and capital topics. We will discuss local accounting figures and we will give a brief overview of IFRS 17 and 9 figures at the end. Before we begin, just a few reminders, first, interpretation services are available, both here and at home, so feel free to choose the language you prefer, either English or Spanish. At the end of the presentation, we will open up the Q&A. For those of you who are here with us today, you can ask your questions in person, of course. [Operator Instructions] I will hand the floor over to Antonio Heurtas. Please, Antonio?
Antonio Huertas: Good afternoon, everyone. Thank you, Felipe. Before we discuss the key figures, which we are presenting under local accounting standards, as Felipe said, I would like to reflect on the past year. I'm pleased to present our results for 2024, which have been outstanding, posting the highest level of profit in over a decade. We are quite proud to highlight that we are meeting most financial targets set out in our current strategic plan and, in some cases, even surpassing them. This is proof of our successful execution of the strategic plan. We continue to focus on technical excellence, while financial income remains a strong tailwind. We posted an excellent result of €992 million, the largest ever, and an adjusted ROE of 12%. After accounting for the €90 million impairment of goodwill in Verti Germany recorded in September, net profit was €902 million, up 30%. Figures under IFRS were also very solid with a net result of €968 million and a combined ratio of 93%. Growth remains robust with premiums up 6.6% at constant exchange rates with more than €28 billion in premiums, our historic record. The growth was really 4.5%, affected by the depreciation of most Latin American currencies. Non-Life technical profitability continues to improve with a combined ratio at 94.4% and a little over 93% in the fourth quarter. General P&C contributed the most to this reduction on the back of technical improvements as well as the absence of significant cat events. Motor continues to show strong advances in several markets, significantly improving profitability in North America and LatAm. In Iberia, measures are still being implemented, and we expect to see the results in the coming years -- in the coming quarters, sorry. So far this year, data shows we are heading in the right direction. The market in EMEA is quite challenging, but we are taking all necessary measures to improve our technical results there. The balance sheet is stronger on both assets and liability side. We continue to increase reserving prudence in many markets, especially in the reinsurance business in Iberia. Our capital base remains strong with shareholders' equity up over 5% to €8.5 billion and the Solvency II ratio at 202% as of September, in line with our reference framework. Thanks to these robust results, we are proposing the highest dividend in the company's history. MAPFRE's Board of Directors has proposed a final dividend of €0.095 to be approved by the AGM in March. This will bring the total dividends paid against 2024 results to €0.16, amounting to over €590 million, fully in cash and with a payout of 55%, within our target range. This attractive dividend remuneration with 3 consecutive increases is evidence of our firm commitment to shareholders. Over the last 5 years, MAPFRE has paid out more than €2.2 billion with an average dividend yield of 7.7% and nearly 7% in 2024. Moving on to the main regions and business units, I do believe that all of them are delivering exceptional results supported by a focus on technical excellence as well as diversification. Life and General P&C lines are performing exceptionally well, in addition to reinsurance and global risks. Iberia is benefiting from its highly diversified business mix and improvements in technical management. Premiums were over €9 billion, and we maintain our leading position in key business line. Profit is up 6% to €367 million. If we exclude the impact from the bank agreement in 2023, net profit would be more than €50 million higher than last year, up 70%. LatAm, including Brazil, remains the largest contributor to business volumes and profit with close to €10 billion in premiums and €408 million in results, achieved as a consequence of technical improvements as well as a strong contribution from investments. North America is posting a remarkable profit this year with €98 million and the ROE now at over 8%. Lastly, our reinsurance and global risk businesses delivered a solid result of €325 million with an €81 million improvement supported by growth and the absence of large cat events despite the increase in secondary perils. These outstanding results are supported by a long-term strategy focused on profitable growth, technical excellence and diversification as set out in our 2024 to 2026 strategic plan. Now I will hand the floor to Fernando to walk us through the main figures. Fernando, please.
Fernando Mata: Thank you, Antonio. As mentioned, premiums are up 4.5%, supported by Non-Life tariff adjustments. There have been headwinds from the Brazilian real and other Latin American currencies. At constant exchange rates, premiums are up 6.6%, in line with growth expectations. By market, almost all regions continued performing positively, especially Iberia, other LatAm and reinsurance, sorry. Non-Life premiums, which are around 80% of our business, are growing at 5.6%, 7.6% at constant exchange rates, reaching over €22 billion. Performance in the Accident & Health line has been noteworthy, up around 8%, and Motor is also up around 6%. The General P&C business is growing 1.5%, impacted by the slowdown of Agro in Brazil as well as the depreciation of the Latin American currencies. Life business, which is around 20% of premiums, has grown 3%, constant exchange rates, resulting from slower sales activity in the fourth quarter with savings down 1% year-on-year. Life Protection is up 3.6% with notable growth in Mexico and Latin America as well as healthy trends in Spain. I will now discuss the key trends by region. In Iberia, net profit has reached €367 million, up 1.6%, with an ROE of 11.4%. Last year results included a net impact of €46.5 million due to the arbitration related to the Bankia exit. Excluding this item, profit growth was more than 17%. Realized gains are lower with €46 million in 2024 compared to €74 million in 2023. The DANA storms during the fourth quarter were manageable with a €27 million net impact. And growth trends are pretty strong with Non-Life premiums up 6.5%, driven by strong General P&C performance, especially condominiums and homeowners, along with the Accident & Health business. Life premiums are down 5%, which I will explain later. Profitability in LatAm has been excellent with a net contribution of €408 million and ROE around 18%. Non-Life profitability is exceptional across the region and financial income is performing well in most of the region. Premium growth trends are strong in Mexico, Colombia, Chile and the Dominican Republic. Brazil continues to see exceptional profitability with a net result of €255 million and an ROE of almost 26%. Non-Life combined ratio improved nearly 6 points to 72.8%, driven by Agro and Motor. The rest of LatAm continues to show strong profitability, contributing €153 million with improvements in technical results in most markets and also tailwinds from financial income. In North America, the net result reached €97.6 million compared to near breakeven last year, a big jump. This is driven by underwriting measures and significant tariff increases, along with benign weather. The combined ratio has decreased by almost 7 points, now at 98.7%. And in Puerto Rico, it's remarkable as well. Net profit was over €25 million. In EMEA, losses have been reduced significantly to around €30 million, improving by €16 million. Turkey posted a profit of €28 million with the combined ratio down 14 percentage points and high financial income. On the other hand, the Auto business remains challenging in both countries, Germany and Italy. MAPFRE RE net profit excellent, up 33% to over €325 million. The combined ratio is down 2 points to 93.6%. The most significant events in the year were the floods, well known by you, in Brazil as well as the storms in Europe. As a reminder, last year, the Turkish earthquake and Hurricane Otis in Mexico had a combined impact of -- sorry, a net result impact of over €150 million. We continue to reinforce our prudence in provisions due to the ongoing rise in secondary perils. Finally, MAWDY continues to grow, posting a net result of nearly €5 million. I would also like to address 2 specific items. Just as a reminder, in September, we recorded a €90 million goodwill write-down in Verti Germany, which is reflected in the holding and adjustments line. Last year, the same line, there was €75 million from the write-down of the U.S.A. business. Second item, there were around €20 million of positive tax adjustments at year-end compared with the €35 million recognized in September. And the reduction was due to year-end regulatory changes. On the right side, you can see the ROEs and combined ratios by the different segments. General P&C, this is our main line of business, both by premiums as well as profit, has delivered outstanding performance. Premiums are up 1.5%, and the combined ratio has improved nearly 7 points to 80.9%. The net result stands at €413 million, a €187 million increase. In Iberia, premiums have risen by nearly 7%, fueled by homeowners and also condominiums. The result has nearly tripled to almost €147 million, and the combined ratio has improved by 5.5 points to 94.5%. This excellent level includes a 1.6% impact from the DANA on the full year combined ratio and 6.5% in the fourth quarter. In Brazil, premiums have decreased by 6%, but are up over 2% in local currency. Agricultural insurance has been affected by the high interest rate environment and also the falling commodity prices. The result in the region is almost €163 million, up 21.5%, and the combined ratio has improved to around 63% with no relevant events during the quarter. This excellent level is also supported by the diversification of the Agro portfolio, which is sold as an insurance package, including life protection, around 40% of the premium, as well as property and crop insurance, around 30% each. North America had an excellent year with a combined ratio of 84.3% supported by tariff adjustments in homeowners and benign weather. In fact, the ratio in December, which is typically a bad month, was the lowest of the last 10 years. The net results stood at €50 million compared to €17.6 million in 2023. In summary, General P&C continues to be highly profitable and also well diversified. Auto, the fourth quarter results for the Motor segment confirmed the trends seen in previous quarters, showing gradual improvements. Losses have been reduced by more than €40 million to €26 million with the combined ratio improving by 1.4 points to 104.6%. The group's average premium is growing by almost 11% with total premiums up 6% with some drag from currencies, especially in LatAm. Insured units are down by 4.6% due to selective underwriting. The results reflect an outstanding turnaround in North America, while Brazil and the rest of Latin America are operating at combined ratios near breakeven, 100% or below, which is satisfactory given the interest rate environment in these markets. In Iberia, premiums have grown by over 6%, while our portfolio is down 3%, around 180,000 units, of which 80,000 of this reduction is due to fleet planning. The combined ratio had a slight uptick of 1.5 points, reaching 105.4%, impacted by increased costs resulting from various changes to the bodily injury compensation scale. Known by you by Baremo, it will affect both current and previous year claims as well as a higher prudence margin applied by MAPFRE to the outstanding claims provision. Eliminating these 2 effects, the underlying combined ratio for 2024 will be around 102%. On the other hand, material damage expenses remain under control thanks to cost containment progress. And as we said, tariffs will continue to be adapted in line with expected future costs. This makes us confident that we will reach technical profitability at some point in the coming quarters. In Brazil, premiums are down close to 9%, less than 1% in local currency, with the number of units relatively flat in the year. The combined ratio of Brazil has decreased by 1.3 points to 101.2%. In North America, in local currency, the average premium is up 11.5%. Premiums are growing 6.5% with units down over 5%. The combined ratio improves its points at around 101% with a slight uptick in the fourth quarter due to seasonal effects but is still showing a strong recovery year-on-year. The turnaround has been outstanding with a net profit of €40 million, improving by €75 million, thanks to technical improvements and tariff adjustments. In 2025, rate hikes should converge with expected claims inflation. In a nutshell, we continue to closely monitor the Motor segment and tariff adjustments, together with a stricter underwriting, will help us to return to profitability. Life business, this segment contributed €283 million to the result with Iberia being the -- sorry, the largest contributor. In Iberia, total premiums are down 5%, affected by the exceptional issuance in savings in 2023, while protection premiums are up almost 4% with the combined ratio standing at excellent 68.2%. We outperformed the market, which fell over 13% during the year. Net result, remarkable, €168 million. Positive portfolio yields are contributing to the financial result, which, with net realized gains of €29 million, are higher than last year's. As a reminder, 2023 included BRL 29 million from the Bankia exit. Excluding these extraordinary items, the result will be up 8%. In Brazil, protection premiums are down 6% but growing over 2% in Brazilian real. There is some slowdown in investment and lending in the economy due to the recent -- sorry, rate hikes, which are affecting sales. This is a very profitable business and the combined ratio stands at an excellent 84%, although up 4.5 points due to higher acquisition expenses already commented in previous presentations. Regarding the rest of countries, volumes are up by 27%, led by other LatAm. Mexico is noteworthy, growing almost 49% in Life protection. And the result reached €49 million with a reduction of €37 million due to an increase in the runoff annuity portfolio reserves in Colombia, those that are linked to the legal minimum wage, which, as you know, significantly increased at year-end. On the other hand, Protection continues growing its contribution to the net result. Now I will hand over to Jose Luis to discuss the main balance sheet items.
Jose Luis Jimenez: Thank you, Fernando. Shareholders' equity stands strong at over €8.5 billion, up over 5% on the back of this year excellent result. Market movements had a limited impact on our closing position. The slight revaluation of our investment portfolio has mitigated the low negative currency conversion differences. The strong rally of the U.S. dollar towards ESN at nearly 7% helped offset the 16% fall in the Brazilian real and the depreciation of other Latin American currencies. Leverage is under 22, around the 24 framework, which was the reference we announced at our AGM, reflecting our disciplined approach to capital and debt management and the growing equity base. Now I would like to take a moment to discuss cash flows upstreaming within MAPFRE Group. In 2024, we achieved more than €700 million, a €66 million increase. These cash flows were allocated to pay €477 million in dividends as well as to cover overhead, interest expenses and other capital needs. As you can see, our sources of cash generation are well diversified. Iberia remained the most important contributor with €316 million. LatAm contributed €200 million with an increase in Brazil, reaching over €150 million. North America had the most relevant increase, reaching over €60 million. And MAPFRE RE increased its upstream to €120 million. Asset allocation has been relatively stable during the year, increasing corporate bonds and reducing sovereign and cash. The Spanish [govy] remained our largest exposure with €9.6 billion. Our portfolio is defensive and well diversified. Falling yields have reduced the unrealized losses in our portfolio with relative stability during the year. We have almost €40 billion in third-party assets, making us one of the leading nonbank players in Spain, with an exceptional increase in pension funds this year, up almost 9%. Our nearly €46 billion investment portfolio, together with the asset management business, brings total assets under management to over €59 billion, up 4% compared to last year. On the right, you can see our main fixed income portfolios. As a reminder, a large portion is immunized for much. I will focus on the actively managed portfolios, which are the main profit contributors. Regarding the Euro area, yields are up over 45 basis points during the year at MAPFRE and 10 basis points in Iberia. If we exclude linkers, yields are up 20 basis points higher in Iberia, Non-Life, 10 basis points at MAPFRE RE. Accounting yields are still below current market levels in most portfolios. In other markets, accounting yields in LatAm are up and still below market levels with a nearly 20% basis point increase in Brazil during the year. In North America, the increase is 14 basis points. There were no relevant changes in duration during the quarter. The higher yields have been reflected in financial income, as you can see in the figures on the left for our main Non-Life unit. Iberia is flat due to lower realized gains. As a reminder, in 2023, there was the sale of a relevant property. In Brazil, financial income is down over 7% due to the currency depreciation. During the last quarter, we are already seeing the impact of the rising interest rate scenario with the rest of Latin America showing growth. North America has been stable while, in EMEA, financial income is slightly down compared to 2023 as there were high ForEx differences from the lira depreciation in the second half of last year. The financial result in Turkey is expected to remain strong due to high interest rates. MAPFRE RE continues to show strong profitability. On the right, you can see the net financial gains, which reached €40 million with €29 million from the Iberia Life business and another €11 million in Non-Life units. These figures include relevant gains on the equity portfolio, which offset the impact of real estate provisions. Here, you can see the main KPIs under IFRS 17 and 9 compared to local GAAP. I will comment on the most relevant ones. Insurance revenue, which reached a little over €25 billion, is up 3%. The net result stands at €968 million under IFRS, €66 million higher than local GAAP. IFRS 17 had a €98 million positive impact. The risk margin on loss component were negative, but were offset by deal movements and other adjustments. IFRS 9 had a negative €32 million impact with 2 main drivers, realized gains on equity recorded under OCI, which offset the mutual fund valuation gains booked in P&L. Shareholders' equity amounted to €8.9 billion, growing at a similar rate than under local GAAP. The gross CCM, control segment margin, was €2.5 billion. It is down around €100 million during the year, €92 million of which corresponds to currency depreciation, mainly the Brazilian real. The CCM, net of tax and minorities, was €1.6 billion, up over 2%. The 93% combined ratio under IFRS has improved slightly, down 3.5 points. The return on equity stood at 11% under IFRS. Further disclosure of IFRS figures can be found on the nexus of the presentation as well as in our annual accounts, which are available on our website. Now I will hand the floor over to Antonio for closing remarks.
Antonio Huertas: Thank you, Jose Luis. Now I would like to highlight our financial strategic performance during last year. The close of 2024 marks the end of the third year of our new strategic plan. We have continued to implement -- we have continued to implement our strategy supported by the structural and leadership changes that took place last year, moving the group into a new phase more focused on growth and results. Enhancing technical excellence, improving productivity and leveraging MAPFRE's potential across all of our markets are all contributing to ensure we meet our public targets. Referring to the financial commitments, we are very pleased with the achievement of the targets of the current plan. Premiums have grown by 5%, excluding Life savings, compared to a target of 6%. Currency depreciation has had a significant impact on our KPIs, and we would have reached our target at constant exchange rates. Our average ROE target for the period is 10% to 11%, excluding extraordinary items. If we exclude the goodwill write-down, we have posted a solid 12% year, well above the target, and we are still at 11% if we include the write-down. The average combined ratio target for this 3-year period is 95% to 96% and performance was excellent at 94.4%. These financial figures are on the local accounting, but we are also meeting these targets under IFRS. We are highly committed to sustainability. We have achieved our 2024 targets, and we are well on our way to meeting our 2026 public commitments. We have achieved carbon neutrality in 10 of the 15 target countries, and we will continue expanding to the remaining 5 in the next 2 years. Over 90% of our portfolio is now ESG rated, and we aim to reach over 95% by 2026. Additionally, women now occupy 34.5% of top management positions, very close to our 36% target. As you can see, we have reported an excellent year with outstanding results, confirming the success of our new strategic plan with most financial targets on track. Our solid and profitable business model allows us to grow steadily, backed by strong financial positions and low debt levels. MAPFRE continues to hold leading positions in most markets in a challenging and demanding context. We have the financial strength to seize opportunities for organic growth and also open to any opportunity aligned with our strategy that may arise. We are moving forward with our sustainability plans, and we are also making significant strides in digital transformation, innovation, as well as artificial intelligence, but always putting our people and stakeholders at the core of our strategy. The environment we operate in remains highly unstable. We have overcome the threat of inflation, but the world is still far from achieving geopolitical stability, which remains one of the greatest threats and has become the new normal. MAPFRE has already demonstrated its ability to thrive in a constantly changing environment. The coming years will continue to be demanding, but we are approaching them with optimism. The final dividend announced this morning is proof of our confidence in the future. We remain committed to strengthening our relationship with shareholders and creating value for society as a whole. Before I hand the floor over to Felipe for the Q&A session, I would like to say a few words regarding the orderly succession plan that we have just announced this morning. Our CFO, Chief Financial Officer, Fernando Mata, has held various responsibilities in the company, leading with commitment and loyalty for almost 30 years, the last 10 of which as Group CFO and the last 7 as a member of the Board and Vice Chairman. He will be succeeded in these functions by Jose Luis Jimenez, who will take over Fernando's role in upcoming presentations. Additionally, either Jose Manuel Inchausti, our Executive Vice Chairman, or I will also participate in these events. Fernando, a few words, if you want?
Fernando Mata: Yes, if you'll allow me. First of all, I would like to congratulate Jose Luis for his appointments, and to you, Antonio. It has been a great honor to be a Board member, the Board chaired by you for many, many years, and also to be part of this, to me, the greatest executive team I ever met and also this -- part of this largest in the world family, which is well known by MAPFRE. Despite my baby face, I'm turning 64 -- sorry about that -- in March. And believe me, frankly, I'm really starting to see that. So I will be retiring as CFO in March after almost 10 years that I will never forget. That's what I had to say, never forget. I will continue to -- I will be around, obviously. I will continue collaborating with MAPFRE.
Antonio Huertas: [indiscernible] your handicap now.
Fernando Mata: That's correct. It's tough -- anyway, to collaborate with MAPFRE as a nonexecutive position -- in a nonexecutive position to the extent that MAPFRE requires, obviously. And you, bankers, financial analysts, investors, thank you very much to all of you, first, for your presence, your questions, your insights, your recommendation, they're very valuable, very, very valuable for me, and above all, for the respect that you always have with me. Thank you again.
A - Felipe Navarro: I will take over now. Thank you, Fernando. Although most of you are already familiar with the process, let me quickly remind you on the details of this Q&A session. Those who are here in person can raise your hand, and I will give you the floor. And please introduce yourselves before asking questions. I can hardly see your faces from here. It is possible to ask questions both in Spanish or English at your convenience. [Operator Instructions] The IR team and I remind you that we will be available for any pending questions after the call. And now let's start with the first question. Please, Max, the microphone. For the translation, we need the microphone.
Unidentified Analyst: Good morning. Thank you very much for the presentation. And before I do anything else, Fernando, thank you very much and best of luck in your future life. I have two questions. One has to do with Motor in Iberia. I would like to ask you, what are your expectations? How do you think the portfolio is going to evolve? Because we saw that, in the fourth quarter, there was a drop. Are you expecting stability in 2025? Or do you think you're going to continue to lose clients? And what are the average increases in premiums that we can expect for '25? And my second question, MAPFRE RE, January is over. I would imagine most renewals have been signed. So could you give us a little bit of granularity regarding expectations for 2025?
Antonio Huertas: Okay. I'll start. As far as our Auto business is concerned, in Spain specifically, we are -- well, we remain optimistic as far as our portfolio retainment capacity, we believe. We believe we are being very conservative. We are adjusting our premiums, but we are adapting ourselves on a bespoke manner, and we're trying to offset it as best as possible. This new business has been affected for all companies because other competitors are doing the same. They're protecting their portfolio, and they're trying to be kinder to customers who have been loyal for years when compared to others. New production fees are higher, and this really makes getting these customers more difficult. The portfolio we've lost, we're talking about 1% through 2024. 170,000, 180,000 policies is something we were looking for because these are profiles we don't want. Part of the fleet market is less profitable and we've got customers who don't want to accept the fees, but we believe that we shouldn't keep on losing our own portfolio. We believe that we should -- the first 6 months until we stabilize everything will be closer to our global ratio. Our average premium figures, I know, yes -- no, the figure we mentioned throughout the presentation, the average premium grew by 9%. And as we said, when we think of the future, we'll adapt it to the future based on prices and exogenous factors. But there's no fixed rate. This is something we see on a case-by-case basis. And we've got a very diversified business. And usually, they have -- customers have several policies with us and it goes -- it changes. So as far as MAPFRE is concerned, we're very optimistic. We are wrapping up with the renewal for January. Most of our business is the Group, and this is MAPFRE Non-Group. So we believe that our Non-Group business has kept on increasing reasonably, and we've reached the maximum, and we've been able to manage this in 8%, 9%. We managed to -- we've had good results, so we believe that MAPFRE's margins after -- is going to be very positive when we ignore the business volatility, any impact we can have. I can guarantee that the California fires, while very important for the American market, €30 billion, €40 billion for MAPFRE, it's a reasonable figure. It's not going to really endanger our earnings for this year. I think we had a comment on DANA. You asked about DANA? No? Okay. Maybe. Okay, for the next person, okay.
Unidentified Analyst: If you allow me, I think the question is results for the fourth quarter, Iberia, a minor technical loss. What is the impact of the DANA flash flood? And are there any other one-off events that we would believe have affected us in that quarter? When we addressed the market, we talked about BRL 27 million, but perhaps we do want to add a little bit of flavor regarding the flash flood, DANA.
Antonio Huertas: Well, DANA overall is the biggest catastrophe in Spain. It was laser-focused in an era in Valencia, as you all know. And the impact to insurance can go over €3 billion. When I talk about insurance, I'm including the consortium, which absorbs about 95% of these losses. This is a public-private partnership that we have here in Spain and which allows us for -- most damage caused by this climate event are covered by this consortium, which has -- which does not have enough funds to face these losses. MAPFRE, we're talking about €34 million of impact, of direct impact, between direct and reinsurance. So it's basically residualant. It will have no impact on our account.
Felipe Navarro: Next question, please. Francisco from Alantra.
Francisco Riquel Correa: Congratulations to Fernando and to Jose Luis, yes. So my first question has to do with Motor in Spain and in the United States of America. Last year, we began the year thinking about technical profitability being a possibility at some point towards the end of '24. As time passed, we waited until maybe the beginning of '25. So the question is, when will we see these 2 markets being profitable? What is the trade-off? Premiums? Policies? What can we expect? When will we see a more normalized profitability in these 2 markets?
Antonio Huertas: Without giving away any specific facts, I can say that we are very optimistic. In the States, we believe we already have a reasonable size, even bigger than what we had before the pandemic. Having a combined ratio in the States of about 100% is very reasonable and very common, given the environment's maturity and the competitiveness we have. And this is a better situation than we had before the pandemic because, well, this is really -- means we can have a reasonably good profitability, especially in North America, given our rates going up. And well, it's one of the highest we've ever had in this area, so it's been one of the highest ROEs. And we believe that we had no specific commitment. We said we would improve for 2024, and we've improved, 2 basis points, our combined ratio. So maybe we've been overcautious than what we expected, so a solid increase -- or some deviations when it comes to personal, not only in frequency, but the impact that Fernando mentioned. So we've got the reference, which has been increasing in the last 3 years and which, given the scale -- well, the scale varies from company to company. The market has shown what [IFRIC] has published, which in the last part of the year, the combined ratio -- the Auto combined ratio worsened. So we still have -- the market still has to absorb these impacts, which, as everybody knows, these increases take place whenever there's -- when there's a sentence or a transaction. And that can be years after the policy was undersigned. So I can advance that. At the start of the year, we have already seen an increase in our combined ratio here in Spain.
Felipe Navarro: I have 2 questions, which have been posed by persons who are not here physically, Alex Mackenzie and [Passo Hira] from Banco Sabadell. They have the same question basically. That degree of prudence that we've talked about, which we have taken into account when talking about reserves for the Auto business, they would like to know what the forecast is that -- as per the combined ratio. I think that that's been answered. But the follow-up question is, do we still have the ambition to reduce the combined ratio below 100% in autos? And looking more into the future, a possible combined ratio would be between 95%, say, 96%, this for the longer term. Fernando, please?
Fernando Mata: Yes, if you allow me, Antonio, I would like to add to what I've said throughout the presentation. And as Antonio said, ever since the accident takes place until we had the bodily injury estimates, there will be some time. There are claims with neurological damage. This can take years, so there is an offset with the pay. So a 2020 claim, if the final report we received in 2024, we pay on the 2024 Baremo, as we call it, scale, which we pay in 2024. We didn't expect this to have such an important impact. I'll explain why for MAPFRE later specifically. And we've had some negative deviations, and this has led us to reinforcing our prudency very carefully, which is why I'm saying -- which is why I'm talking about previous year's ratio on this one. So I believe that the underlying -- we don't have a specific date -- of about 102%. This prudential limit is very difficult to divide it on a year-by-year claim basis, but we reinforced in April -- sorry, in the fourth quarter. That's the prudence we undertook. So I'll give you an example we usually don't discuss, which is very, very clear. Our general provision, the IBN nondeclared, but -- well, in Auto exposure, which reduces risk, well, we've increased it from €140 million to €190 million, €50 million ever since 2023 to 2024, only as far as cars are concerned. That's 2 points in our combined ratio. I don't want you to think that there are 2 points in the combined ratio that are XL, just that we've been very cautious, and we have to keep on monitoring actions to see how these costs evolve. And why MAPFRE? Well, our claim retention is very high. We've got a very high priority. We're very aware in the business that there are companies, medium and high size, which have an XL and they've got a priority of €2 million, €2 point-something million. So above that, all cost is the reinsured -- is down to be reinsured. Thus, given our size and our capital position and our risk diversification, we've got a higher level of retention. So all deviation remains. I would like to apologize for all these technicalities, but I think it was worth our time to clearly explain where the underlying combined ratio comes, this 102%.
Felipe Navarro: Thank you very much. We have questions from Carlos Peixoto from Caixa. These improvements that we've seen vis-a-vis other market players, why is market at a different level, if you will? I think that you've answered beautifully when you addressed the issue of impact in reinsurance. Ladies and gentlemen, more questions perhaps? All right then. Yes, there seems to be a hand up there. Yes?
Juan Pablo Lopez: Juan Pablo Lopez from Santander. I have a question. It has to do with capital management and EMEA. What do you think the future holds? Perhaps something might crop up in Germany. Might that be of interest? And then the use of capital, what do you think is more attractive, a bancassurance agreement, a specific region perhaps? Or are you going to continue to focus on EMEA?
Antonio Huertas: Well, our bet on EMEA is we don't believe that Spain is part of Europea, Middle East and Africa. We've reduced our presence to Turkey, Malta, Germany, Italy. And that was what we believed and those are -- gave us reasonably good results. And we've got Germany's Auto, which, as you know, it's a critical situation. And well, that's what we're working on. We won't leave Germany. We've always believed that Germany was a strategic option that should go further with no specific plan in mind, but we believe that we've got 1 million vehicles insured. It's a company with -- we already have a brand, and we've got good presence in. What we have to do is we have to be profitable. The German market is very cyclical. It's on the bad part of the cycle, which we see every 6 to 8 years. We have to power through, and we've got better expectations for 2025, as we saw with Italy. Italy's Auto cost was affected earlier, and we've been patient in order to keep on improving little by little. So our appetite, our local appetite, to manage capital in the future, as we've said -- is the markets where we find ourselves, we're very comfortable, and we would like, wherever we are, to improve our alliances with distributors and, well, other businesses. We've got important business -- markets like Brazil, Mexico, the U.S., Germany, come the future, and Spain. Spain is a very important market for us. It's 30%, 30-something percent of our business, but we should aspire to a bank insurance product -- [bancassurance] product that really helps us to be more multichannel than we already are.
Felipe Navarro: We have a question that comes from remote. Could you talk about DANA Auto, General insurance, MAPFRE RE? I think that we've already provided information, €27 million, as we said, Iberia, another €7 million for MAPFRE RE. So the total impact is of approximately €34 million. And then Iberia basically is divided in, well, first, Agro, combined Agro, because of the hail, then everything that is a result of water, rainfall, so Auto and so on. And I believe that perhaps the most important impact has to do with the combined Agro, frankly. The rest are lesser. They're important, of course, and especially if you accumulate, well, that adds up to those €27 million that we've talked about before. And as to a different area, let's talk about Brazil. [Passo Heyda] asks about the combined ratio of Agro, and this independently. And perhaps more specifically, do we believe that new legislation, especially in the insurance sector, will they affect the competitive horizon of the insurance market in Brazil? What would you say to that?
Antonio Huertas: Well, since we're talking Brazil, I believe that the combined ratio of Agro -- you correct me if I'm wrong. We're talking about 50-50-something. Yes, it is true what we've been discussing in the last couple of years that, at some point, it should worsen. But the fact of the matter is that the last 2 years have been much better than we expected. And this leads us to believe that 2025 could be better, so it could be different. So it is true that, last year, there was a law to protect the Agro business which was enacted very late July 2024, when, other years, it's usually approved in March. So that really pushed the schedule back. And I think that all expectations towards Brazil in 2025 lead us to believe that this quarter will be a good quarter for Agro, and we expect that the Brazilian economy grow back by this business, by the sector and private business. And something else we have to add is an increase in interest rates which could lead us to a point where a lot of people don't want to fund this package we mentioned earlier, which is basically 3 components. So we've got Life. We've got real estate property and, well, Agro. But what we expect for 2025 is for this trend to continue. But it is true that, in the case of Brazil, there are 2 cases in favor. One of them is the interest rate, which we got the Selic as a reference, which has grown. The Central Bank has increased, and we could reach 5.25 points -- 15.25 points. And it will obviously have tailwinds on our financial -- from a financial standpoint. And something we've mentioned during the presentation was the devaluing of the Brazilian real, which was of about 16%. And this has been affected by the new presidency, by the new administration, the Fed. And what we've seen, well, probably the real, instead of depreciating, will appreciate by about 5%. So when we take a look at this, we have to take a look at the net impact, but we are -- we believe we're relatively optimistic that this trend can continue. Okay. And I'm going to wrap up with the combined ratio for the Agro business is very, very good. And it is volatile, of course. And so far, we could be affected by weather and climate events. But most of the business -- we share our fate with the Brazilian bank, and they received 75% of the profits and 75% of earnings and negative impacts. And the reinsurance policy we have there is more than enough to ensure that this volatility in the earnings that affect MAPFRE is very limited so that we can keep on getting reasonable earnings, especially in more adverse situations.
Felipe Navarro: Thank you very much, Antonio. They were asking -- Carlos Peixoto and Alex Mackenzie from BNP were asking about this. What was the solidity [indiscernible] but I think you offered a wonderful response. And well, these are business lines with wonderful profit margins. Carlos Peixoto from Caixa has another question. He would like us to address the issue of the combined ratio of MAPFRE RE, which was under 90% in the fourth quarter, if we see them individualized. And he asked also, is there a release of reserves in this fourth quarter? We've been talking about that prudential margin. We've been talking about being in the upper portion of those intervals. And the question is, what should the combined ratio of MAPFRE RE be, sustainably speaking, in the long term?
Fernando Mata: I'll answer myself. Well, what we've done this fourth quarter, we've kept on with the reinforcing of the prudential margin. We find ourselves in the 90 percentile, which is the highest that we have in the IFRS memorandum. This fourth quarter has had a few events, and that's why we had these earnings, what we have. This has added 1 -- 1.5 basis points overall gross Motor. So we find ourselves in 93-point-something percent. We are underlying at 92%, which is -- it's been a wonderful year. And the ground rate -- the run rate should be good, and it's been -- there's been a lack of catastrophes, relevant catastrophes, in the insured amount. DANA, for example, was 220 casualties, so we should have a lower run rate to that one, to the underlying combined run rate, which we mentioned, which is 92%.
Felipe Navarro: Okay. Very good. Thank you very much, Fernando. I have a question now from -- no, 2 questions from [Passo Hayda]. The first question has to do with the year 2004. Would those numbers be valid in '25,'26? They were very good, as Antonio mentioned in the presentation. And the combined ratio of General, that 81% General insurance, 81%, is good. Is it exceptional though? And sustainably speaking, what would we think of in the long term?
Antonio Huertas: Well, related to this question, if this is sustainable, we're working on ensuring that these figures can be improved. That's what we want to do within the group. If 81% is exceptional property, well, that's something that we probably have to deal with if we regress to the mean, of course. But of course, Auto should improve. So the net effect could be positive for us. Yes, we've had wonderful behavior, and exceptional, in the U.S. Homeowners last year last year was slightly worse. The fee changes we implemented, which were done quick and fast, had an impact, a positive impact, on homeowners. The East Coast in the States has been very good. It's been very cold, but it hasn't snowed as much as other years, so there weren't any huge damages. And we've got a big portfolio, and we will always be affected by weather events, even though we're covered by reinsurance. And well, what we can do to deal with different businesses and property and casualties is very positive.
Felipe Navarro: We don't seem to have further questions via remote. Perhaps there are questions here from the meeting room, from the auditorium. That is not the case. So once again, thank you all very, very much. Maybe Antonio, maybe Fernando wants to close the session.
Antonio Huertas: Well, yes, thank you. First, thank you once again. Thanks to all of you for being with us. Thank you for depositing your trust in MAPFRE, and thank you for the opportunity that you give us. You are with us, you analyze what our weaknesses may be. Insurance activities, by definition, are volatile, complex, under tremendous supervision. And those of you who are experts know that it's relatively easy to follow, but sometimes it's much more complex than what we see at a first glance. So we depend on external events, right, which may condition our earnings. Our degree of prudency and confidence is high now. It has been high in the past also. But indeed, everything we have done to implement the necessary measures to correct whatever possible deviations might have existed are forceful. It's true that, in Auto, we have much to do in Spain, in Germany, to a lesser degree in Italy, in Spain for the most part. And we believe that it will only be good news in upcoming months. The year 2025 is going to be the year in which we're going to find ourselves not in necessarily the best of all possible conditions, but in a much better condition. We will no longer be dragged down. We are confident that our provisions and our tariffs are what they need to be in order to deal with the current scenario, which is resulting in notable increases well beyond inflation levels when we talk about vendors, when we talk about sentences. So again, thank you. And as I said before, Fernando, thank you very much for your many years with the company. Of course, Fernando is going to continue to work with us. He will be a nonexecutive, but will continue to contribute, as I say. And those of us who remain on board will definitely do our utmost to guarantee the sustainability of our business and of our commitment, because we are committed. We are not here just today. We're here to stay. We're not into speculation. And again, we trust the model that we have built, which adds value, which does definitely add value, all stakeholders, of course, and perhaps more especially shareholders. This is something that we have insisted on because those dividends that we're paying out this year is essential. And that dividend will continue to improve if our earnings continue to improve as we expect in the upcoming years. Thank you all very much.